Operator: Welcome to the First Quarter 2018 Earnings Conference Call. My name is Elda, and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. And now, I would like to turn the call over to Ms. DeAnne Gabel. Ms. Gable, you may begin.
DeAnne Gabel - Spirit Airlines, Inc.: Thank you, Elda, and welcome, everyone, to Spirit Airlines first quarter earnings call. Bob Fornaro, our Chief Executive Officer, will give a few brief opening comments; followed by Matt Klein, our Senior Vice President and Chief Commercial Officer, who will review our revenue performance and outlook; followed by Ted Christie, our President and Chief Financial Officer, who will discuss our cost performance. We will have a Q&A session for sell-side analysts following our prepared remarks. Also joining us in the room today are Thomas Canfield, our General Counsel; John Bendoraitis, our Chief Operating Officer; and other members of our senior leadership team. This call is being recorded and simultaneously webcast. A replay of this call will be archived on our website for 60 days. Today's discussion contains forward-looking statements that represent the company's current expectations or beliefs concerning future events and financial performance. Forward-looking statements are not a guarantee of future performance or results and are based on information currently available and/or management's belief as of today, April 26, 2018. There could be significant risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statements, including the risk factors discussed in our Annual Report on Form 10-K and quarterly reports on Form 10-Q. We undertake no duty to update any forward-looking statements. In comparing results today, we will be adjusting all periods to exclude special items. Please refer to our first quarter 2018 earnings release, which is available on our website, for the reconciliation of all non-GAAP measures. And with that, I'll turn the call over to Bob.
Robert L. Fornaro - Spirit Airlines, Inc.: Thanks, DeAnne, and thanks to everyone for joining us. Earlier today, we reported first quarter 2018 net income, adjusted for special items, of $29.9 million, or $0.44 per diluted share, and our operating margin at 7.3%. We ran a very good operation in the first quarter 2018, despite numerous winter storms. We achieved our best-ever first quarter DOT on-time performance of 83.4%. And we also achieved a record high March DOT on-time performance of 85.1%, an increase of 10 percentage points year-over-year. I congratulate and thank the Spirit family for delivering this operational excellence. During the quarter, we finalized a new five-year contract with our pilot union. The new contract provides pilots increased benefits and wage rates and gives the company a platform for further improved operating efficiency and reliability. Our team has done a great job delivering improved reliability over the last several months, and we are committed to delivering strong operational performance on a consistent basis going forward. With that, I'll turn it over to Matt and Ted to discuss our first quarter in more detail.
Matthew H. Klein - Spirit Airlines, Inc.: Thanks, Bob. From a revenue perspective, the quarter generally played out as we had expected. For the first quarter 2018, we reported total revenue of $704 million. Total revenue per available seat mile decreased 2.4% year-over-year, primarily driven by a 1.7% decrease in operating yields and a 4.1% increase in average stage length. The calendar shift of Easter benefited first quarter TRASM by approximately 200 basis points. Non-ticket revenue per passenger segment improved 5.9% year-over-year in the first quarter to $55.29. The largest driver of this year-over-year improvement in the first quarter was our bundled services offering. We are still in the early innings with our rollout of bundled services, introduced late last year, and we are very pleased with how well the offers are being received by our customers. We have other initiatives in the pipeline that we expect to deploy throughout this year and believe we still have upside from dynamically pricing existing ancillary items. As a reminder, as a result of the adoption of the new revenue recognition guidelines, non-ticket is comprised of non-fare passenger revenue as well as other revenue. A reconciliation of non-ticket revenue per passenger segment is provided in the tables in our earnings release. During the first quarter, we opened three new cities, including: Columbus, Ohio; Richmond, Virginia; and Guayaquil, Ecuador. As these new cities demonstrate, our goal over the next few years is to continue to diversify our network. We'll continue to have some growth in big cities, as that is where many of our customers live or want to visit. But we expect to be largely focused on adding service to popular leisure destinations. Additionally, there continues to be some near field international opportunities that our ULCC model allows us to uniquely serve in a profitable manner. The published fare environment remained similar to what we've been seeing over the last few quarters. However, as we head into the peak summer travel period, passenger demand looks strong. And we have taken action, using both price structure adjustments as well as revenue management techniques, in an effort to drive yields higher. Turning to capacity, we estimate ASMs for the second quarter 2018 will increase approximately 29% year-over-year. Given the significant increase in fuel of late, we are planning to redeploy several lines of flying after the peak summer period in a manner that we believe will allow us to better capture revenue to help offset increased fuel costs. These network changes will reduce our ASM production in the last four months of the year. Including these changes, we estimate a year-over-year capacity increase of 26% in the third quarter, 13% to 15% in the fourth quarter, for a full-year 2018 estimate of about 22.5%. Now, turning to our revenue outlook for the second quarter 2018, as a reminder, we are facing a relatively tough year-over-year unit revenue comparison due to holiday timing. Based on the current trends we are seeing, we estimate our total RASM for the second quarter 2018 will be down between 6.5% and 7.5%, year-over-year. This incorporates the couple of hundred basis point impact related to the calendar shift of Easter as well as a 350 basis point impact related to our 7.7% increase in stage length. In addition to diversifying our network and adapting to changes in the operating environment, we remain focused on driving non-ticket revenues higher. And we are confident we can continue to grow our non-ticket revenue per segment over the next couple of years. With that, here's Ted to discuss our cost performance and second quarter cost outlook.
Edward M. Christie - Spirit Airlines, Inc.: Thanks, Matt. And thanks to all of you for joining us today. We had a busy first quarter, and I want to thank our team members for their contributions to our results and encourage them to keep up the good work. First quarter 2018 CASM ex-fuel decreased 5% year-over-year to 5.33 cents. The decrease year-over-year was primarily driven by lower aircraft rent per ASM. As Bob mentioned, throughout the quarter, we had outstanding operational performance. And this contributed to a better-than-expected outcome for CASM ex-fuel for the quarter. One area of improvement I'd like to highlight is our reduction in interrupted trip expense, which was down almost 30% year-over-year on a dollar basis, or down 42% on a per ASM basis. Regarding fleet, we took delivery of five new A321ceo aircraft and one new A320ceo aircraft, ending the quarter with 118 aircraft in our fleet. Recently, we announced that we are purchasing 14 A319 aircraft off-lease and terminating the underlying lease agreements, many of which extended into 2022. Effective March 31, 2018, the lease agreements associated with these aircraft will be classified as capital leases on the balance sheet, until the closing of each individual sale. All transactions are anticipated to be completed prior to June 30, 2018. Given the current fuel and operating environment, we are now targeting to grow at the low end of our 2019 guide or about 13%, and have secured seven additional A320neo aircraft delivering in late 2018 and early 2019 to support that target. These fleet moves give us the necessary aircraft and flexibility we need to pursue our growth through 2021. As for our cost outlook, for the second quarter 2018, we estimate CASM ex-fuel will be down 7.5% to 8.5%. For full-year 2018, we are projecting CASM ex-fuel will be down 3% to 4% year-over-year. We estimate CASM ex will be down mid-single digits in the third quarter and up low single-digits in the fourth quarter. Outstanding cost performance in 2018 creates a slightly tougher comparison for 2019. Nonetheless, when you look at the two-year performance, we expect to deliver down CASM ex over a two-year period that includes the pilot deal and lower growth rate in 2019. I'm very happy with that result. In closing, we are committed to generating earnings growth, regardless of fuel price or competitive environment. Our goal is to build a business that makes us an even stronger competitor. The team is doing a great job sourcing additional ancillary revenue. And we continue to hold the line on non-fuel costs, all while delivering improved operational performance and better customer satisfaction metrics. In addition to basic blocking and tackling, I believe these fundamentals provide the platform to compete well in any environment and to drive earnings growth. With that, I'll turn it back to DeAnne.
DeAnne Gabel - Spirit Airlines, Inc.: Thank you, Bob, Matt and Ted. Elda, we are now ready to take questions from the analysts. We do ask that you limit yourself to one question, with one related follow-up.
Operator: Thank you. We have a question from Hunter Keay.
Hunter K. Keay - Wolfe Research LLC: Hey, good morning. Ted, I'm going to ask you two questions. The second one's a follow-up because I just want to clarify something I heard. But also, did you say that you are dedicated to driving earnings growth? Is that a new line that you guys have inserted into the script? I don't recall you talking about that before. Is that something you're going to plan on going forward from here on year-in, year-out?
Edward M. Christie - Spirit Airlines, Inc.: Oh, no, Hunter. That's not new.
Hunter K. Keay - Wolfe Research LLC: Oh, right, sorry.
Edward M. Christie - Spirit Airlines, Inc.: We talk about that all the time. So, go ahead, yeah.
Hunter K. Keay - Wolfe Research LLC: You talk about it all the time? Okay. Great.
Edward M. Christie - Spirit Airlines, Inc.: Yeah.
Hunter K. Keay - Wolfe Research LLC: Well then, never mind. And then, did you say the 2019 and 2018 CASM ex together would be down year-on-year? I'm sorry.
Edward M. Christie - Spirit Airlines, Inc.: Yeah, that is what I said, exactly what I said. So, as I said, the guide for 2018 is down 3% to 4%. And we have been having a great operational performance thus far, and we expect that to continue. So that does improve that, meaning that baked in there is a better operational airline. So, it makes the comp a little bit tougher for 2019. But that factoring in, plus the fact that we've done this aircraft-related transaction, which we also know contributed to the benefit. So, you start to lap some of that next year. Net-net, we're still going to be down over that period. And I feel really good about that.
Hunter K. Keay - Wolfe Research LLC: I just want to make sure nothing got incrementally worse about the 2019 outlook. You're just saying that the comp got a little bit harder, which is why you're putting it that way.
Edward M. Christie - Spirit Airlines, Inc.: Yeah, that's right. That's exactly right.
Hunter K. Keay - Wolfe Research LLC: Okay. Okay, I'm good. Thank you.
Edward M. Christie - Spirit Airlines, Inc.: You got it.
Operator: The next question comes from Michael Linenberg. Please go ahead.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Yeah, hey. Two questions here, so, when you look at the sort of the non-ticket revenue versus the passenger revenue or the fare, ancillary versus the fare, it does look like that's higher. And I'm not sure if this is the first time it's higher. And I was just curious. Is that being driven by just the change in accounting? Is that part of it or is that really we're seeing an inflection point in that area? And, as you mentioned, Ted or Bob or Matt, the strength of the bundled product starting to have an impact on that number.
Matthew H. Klein - Spirit Airlines, Inc.: Right. So, generally speaking, the ancillary number, the non-ticket number, is moving up with not only the products, like we mentioned, but also the revenue management techniques we're applying to non-ticket as well. Ultimately, our goal is to also keep pushing up, where we can, the passenger yields as well. So in the meantime, that's how the breakdown is shaking out. But we expect there is upside on both of those numbers in the future as the years go by.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Thank you.
Robert L. Fornaro - Spirit Airlines, Inc.: And, Mike, so just to summarize, I think the ancillary number had been dropping since about 2015. And it's finally started to turn. It's been mostly new initiatives. And I think we've said somewhere that we expect the full-year to be above $55 and maybe that – so in every quarter, but we'll end the year certainly above that number. So, I think you're going to see a healthy increase throughout the year.
Edward M. Christie - Spirit Airlines, Inc.: And, Mike, one clarification, this is Ted. The accounting impact is almost zero, little to nothing. So this is really just raw performance. It doesn't have to do with that.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Great. Great. Thanks. And then, just my second question and this is little bit of a mirco airline question. Bob, I'm going to address it to you. You look at the market Akron-Canton and that's a market that you guys went into, I don't know, a year, 1.5 year ago and we saw both Allegiant and Southwest leave that market. And I just thought it was interesting a market that you know very well more recently, it did look like you were scaling back pretty materially in that market. And I'm curious. Have the dynamics in that market changed or is it just the availability of ultra-low-cost carrier competition in markets nearby, like Cleveland, maybe sort of permanently reducing the long-term demand opportunities in a market like Akron-Canton. Because I know when you went into that, the fact that your two competitors left, it seemed like that there was huge upside there. And it just seems like that it hasn't played out as at least from sort of the superficial perspective, it hasn't played out as maybe as what we thought it would. What's your thoughts on that?
Robert L. Fornaro - Spirit Airlines, Inc.: I think it's a good question. You've got a lot of the pieces right. I think Southwest was leaving anyway. And they barely had any service in there. And I think their exit from Akron-Canton was planned well before we announced our service. I'm just guessing there, but I think I have to say when there is that much low-fare service in Cleveland.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Yeah.
Robert L. Fornaro - Spirit Airlines, Inc.: A little bit by Allegiant, a lot by Frontier, and a lot by Spirit, there's just too much low-fare. And we weren't willing, even amongst ourselves, to drop the Cleveland service. So I think it was a situation where, historically, there is an area – there is an overlapping service area between those communities. And with all the low-fare service, including ours, in Cleveland, it's shifting the market back towards Cleveland. And it was impacting our results in both cities. So our plan is to stay in Akron at a reduced level and make more adjustments. And so that's the way it's going to end up. It's, again, I can just chalk it up to an overwhelming supply of low-fare seats in Cleveland. Okay?
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay, that explains it. Thanks. Thanks, everyone. Thanks, Bob.
Operator: The next question comes from Duane Pfennigwerth. Please go ahead.
Duane Pfennigwerth - Evercore ISI: Hey, thanks. Your 2019 growth rate, any thoughts on that and do you have the order book in place with the extension of these 319s to deliver that growth rate?
Edward M. Christie - Spirit Airlines, Inc.: Hey, Duane. Yeah, the growth rate we're targeting right now, around 13% next year. And, yes, the answer to the question is, with the addition of, as I mentioned in my prepared remarks, seven aircraft scheduled to deliver in the fourth quarter of this year and the first quarter of next year. That, coupled with the ongoing fleet that we have and the adjustments we've made, puts us in line to deliver upon that growth target.
Robert L. Fornaro - Spirit Airlines, Inc.: I think I just would add one question there. I'd say, prior to oil moving up to $70, we'd probably been on the higher end of that. But we think this is a more appropriate number, where we're heading with fuel prices down slightly.
Duane Pfennigwerth - Evercore ISI: Thanks. Any early thoughts on 2019 CapEx, given that outlook?
Edward M. Christie - Spirit Airlines, Inc.: Nothing to share specifically right now. But as we get closer, as we normally do throughout the cadence, give you an update on that. As I mentioned, the new aircraft that we've added to the fleet, those are operating leases delivered from a lessor. So no change in formal CapEx as it relates to those.
Duane Pfennigwerth - Evercore ISI: And then just to stay on the A319s, did you have maintenance deposits? Obviously, we see the headline figure for the consideration. But did you have maintenance deposits accrued against those aircraft? So, what was the net purchase price? I'm not sure you've disclosed that.
Edward M. Christie - Spirit Airlines, Inc.: Yes, we did. We had maintenance and other deposits on with that lessor. And you're right. We haven't talked about it specifically. But I can tell you there is an amount, and it's not insignificant, that gets applied against that purchase price. We're still going to have an incremental amount that we're going to look at potentially financing. We haven't discussed the vehicle we add for that. But more to come on how we decide to do that and what it is. I think the net effect, though, from a leverage perspective, is the way you calculate operating lease as part of your overall leverage. Right now, the way we see things, it's neutral to positive.
Duane Pfennigwerth - Evercore ISI: Okay. Thank you very much.
Robert L. Fornaro - Spirit Airlines, Inc.: All right.
Operator: The next question comes from Jack Atkins. Please go ahead.
Jack Atkins - Stephens, Inc.: Good morning. Thanks for taking my questions. Matt, just to kind of go back to the non-ticket side for a moment. You're obviously very encouraged there. It sounds like there's more to come. I guess, when would you really expect to see the initiatives around more dynamic pricing really begin to kick in there to sort of drive incremental upside to what you've been seeing earlier this year?
Matthew H. Klein - Spirit Airlines, Inc.: So Jack, thanks for the question. We're already seeing some of the benefits of it. But we're in the early stages of it. So just – it's a little nuance. But as you talk about revenue management techniques, there's a lot of testing and learning that goes on. So I think we're starting to recognize and realize some of those benefits now. As we move forward, and as our technology and thoughts around the overall process continue to improve, I'd expect we'll continue to see improvement there. So, I'm not going to pin down on an exact date, because it's really a fluid kind of learning experience. As you get better at it, then the numbers improve.
Jack Atkins - Stephens, Inc.: Got you. Okay. Great. And then, Ted, going back to the 14 A319s that you guys bought off of lease, are there other opportunities to do that with the fleet, as you look forward over the next couple of years, just some low-hanging fruit there that you guys can capture, as you look out?
Edward M. Christie - Spirit Airlines, Inc.: Well, over the last two years, we've taken advantage of a couple of opportunities. I think we have eight aircraft today that are on the balance sheet unencumbered. And so, we've dabbled in that market for a while. As I mentioned to you guys at length, we're a much smarter acquirer of and consumer of aircraft capital these days. And we have a good feeling for residual value and how we plan to use those aircraft. And the flexibility that having those aircraft on our balance sheet creates is a good thing. And so, the answer to your question is, we're always going to evaluate those opportunities. Of course, there has to be two to tango. So someone has to be a willing seller. But we think over time, and I wouldn't put a date on it either, there are still opportunities to do more of that, yes.
Jack Atkins - Stephens, Inc.: Okay. Great. Thank you very much.
Operator: The next question comes from Brandon Oglenski.
Brandon R. Oglenski - Barclays Capital, Inc.: Hey. Good morning, everyone, and thanks for taking the question. So, Ted, I guess this is just more of a longer term view on the business, but given the fact that your costs have come up on the labor side, and we're facing higher fuel this year, but do you think long-term profitability in this business, at least for you guys, can go back to mid-teens or even higher in terms of EBIT margins or are we structurally lower in terms of profitability looking forward?
Edward M. Christie - Spirit Airlines, Inc.: Well, it's a great question. And clearly, we're not hitting that target right now, where things sit. But the way we evaluate market opportunities, Brandon, is that we're always looking to target that type of opportunity. And so, to us, and I've said this before, the opportunity that exists is large, but the rate at which we consume that opportunity, the rate at which we deploy into it, is important. And because it affects your spool, it affects how much drag that new market may have or how long it is spooling. And so, we're going to tinker with that. And I think that active management will help us drive at the margin. And that coupled with, of course, the continued focus on ancillary, the continued focus on cost structure, gives this group a lot of confidence that we can actually start to push the margin back in the direction where we think those markets are targeted. And I don't know – it's not a boomerang. But we're optimistic about what we see over the coming years.
Brandon R. Oglenski - Barclays Capital, Inc.: Well, Ted, I appreciate that, but I guess, if I interpret what you said, then maybe you're saying you need to address those opportunities a little bit slower going forward, and maybe not grow as fast. Is that the right takeaway?
Edward M. Christie - Spirit Airlines, Inc.: That's right. Yeah, I mean, we're growing 23% this year. Some of that is because of an easier comp, I guess, if you want to look at capacity that way, from what we faced last year with storms and some pilot disruption earlier in the year. But a 13% growth rate in 2019, I think, is going to be indicative. And we've already indicated that low to mid double digits is sort of target, falls right in line with that. I think that's less. If you just took a straight average of our growth rate over the last five years, it's around 20%. So, the answer to the question is yes.
Robert L. Fornaro - Spirit Airlines, Inc.: So, but, Brandon, just to go a little further, if you want to take – and this would be my reflection on this one. And so, you take the earlier part of the decade, where we had virtually no capacity increases across the industry, a lot of restructuring, a lot of putting companies together. Again, it was virtually nil almost over a many year time. And I view that as not permanent. Maybe perhaps others did. Now we're in a situation where domestic market is growing 4% to 6%, which is elevated. I think we're going to find a spot somewhere in-between those two. And that's where you're going to see improved profitability. I think either one of those ends, 4% to 6%, where we are now domestically versus nil for almost four years, neither of those were stable. And I think we're going to eventually move to a spot in-between. And, as Ted said, we've been growing for many years 20%-plus. We made a decision to grow in the low to mid-teens. So, we have the flexibility with our aircraft, particularly these A319s, to make adjustments. So, I think we have a lot more flexibility going forward in what we're going to do. And we are beginning to respond to the realities of the marketplace.
Brandon R. Oglenski - Barclays Capital, Inc.: Thank you.
Operator: The next question comes from Kevin Crissey. Please go ahead.
Kevin Crissey - Citi: Good morning. Thank you for the time. Can you talk about the characteristics of the markets that are doing better than those that are maybe doing less well?
Matthew H. Klein - Spirit Airlines, Inc.: Sure, Kevin. This is Matt. Generally speaking, just like everything that we see from a supply and demand perspective, is generally the supply and demand is going to drive what's going on from a pricing perspective. And where we see elevated supply, in general, our results aren't quite as good, as we're seeing with less of a supply or capacity deployment. Not just from us, but from the industry in general. So generally speaking, it's not really a direct answer, but that's generally what we're seeing. What I'm not comfortable commenting on is specific markets or specific regions, per se. I think generally, though, you can probably take a look for yourself and see where capacity is elevated. And that's where we're going to have a little bit of an issue relative to other markets.
Robert L. Fornaro - Spirit Airlines, Inc.: And more broadly, when you think about it, we see a lot more competition, virtually everywhere today in comparison to a couple of years. So really, all markets are impacted when you have a generally more competitive industry. And I think you see, also in addition to that, new routes will build slowly. And so, that's a reason for slower growth as well. So, it's a combination of all markets and, again, a broader capacity increase, maybe we can call it excess capacity, all markets are impacted. And new markets take longer to hit their potential.
Kevin Crissey - Citi: Okay. Thank you. And as we think about you slowing the growth rate next year, how should we think about those new markets? Because I am of the opinion that many people underestimate the challenges created by new markets in terms of the financials and how long it can take to spool up. But a slowing growth rate could significantly have more routes maturing. Could you talk about your mix of new markets next year versus those that are maturing?
Matthew H. Klein - Spirit Airlines, Inc.: So, Kevin, you're hitting it right on the head. That's exactly how we think about it. And that's why we are looking at slowing slightly. Making sure that we have more of a mature mix into our route network, will improve our overall numbers, so, as Ted mentioned earlier, as we look for opportunities, they're out there. The question just is, what is the best way for us to consume them and what is the right cadence for us to do that.
Robert L. Fornaro - Spirit Airlines, Inc.: And also, I guess, as we think about routes as we go forward, it's not necessarily new routes, we may do less off-peak flying than we did in the latter part of 2017 going into 2018, because in a more aggressive capacity environment and oil getting higher, it perhaps may be some long-haul flying on our part may be too excessive. So, we're taking a look at all that as well. So, it's a combination of new routes. And it's a combination of some of the things that we were doing. We think there's always opportunities to improve on what you did and we think there's a number of them.
Kevin Crissey - Citi: And your stage length shouldn't have that year-over-year type of change again, right? Is that fair?
Edward M. Christie - Spirit Airlines, Inc.: I think, if anything, Kevin, it starts to come in. As what Bob just mentioned, some of the things we evaluate will be new route deployment. The peak, (29:32) obviously, next year is going to be a natural tailwind if you think about how many new routes you're deploying. But then also, as we look at some of the long-haul stuff, that's probably one of the areas we're going to be focused on. So I think, if anything, it'll come in some.
Kevin Crissey - Citi: Thank you.
Operator: Thank you. The next question comes from Steven (sic) [Susan] (30:06) Donofrio.
Susan Donofrio - Macquarie Capital (USA), Inc.: Yes, good morning, Susan Donofrio.
Robert L. Fornaro - Spirit Airlines, Inc.: Hi, Susan.
Susan Donofrio - Macquarie Capital (USA), Inc.: Hello, everybody. Just a quick question here on – just want to follow-up on your bundled offerings. You said they're selling well. I was just wondering if – should we be looking out for more partnerships, let's just say, with hotels or car rentals to maybe further drive this or am I not thinking about this right? And I'm just wondering where you are with your app, in terms of upgrading it and really driving revenues off of that?
Matthew H. Klein - Spirit Airlines, Inc.: Thanks, Susan. It's Matt here. So, we do believe we have opportunity to do more on we call the packaging side, when you think about hotel and car offerings. We do relatively okay today. But we do think there's opportunity there to do more. And when we think about bundled services, that has a lot to do with other pieces that we've unbundled in the product years and years ago. And one of the things that we talk about internally is making sure that we think of ourselves as a merchandiser and retailer of products, not necessarily just being an order taker of what do our customers want to purchase. So, we think there's opportunity there in thinking about how we merchandise on site. And then, I think your other question was regarding the app. So, our rollout of our app started fourth quarter last year. It has a lot of the basic functionality in it that we know our guests would like to utilize to help get through the airport experience faster. We also know that there's opportunity there for us to do a lot more with our app, again, thinking about how we merchandise in retail through the app, how we notify customers of opportunities. And there's examples of that as well in how we think about retailing, say, our BIG FRONT SEAT product. And when there's opportunity there, how we get those offers in front of our customers at the right time, it can be augmented quite well through the use of the app, as app adoption continues to improve as well.
Susan Donofrio - Macquarie Capital (USA), Inc.: Okay, great. Thank you very much.
Matthew H. Klein - Spirit Airlines, Inc.: Certainly.
Operator: The next question comes from Joseph DeNardi from Stifel.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Yeah, thanks. Good morning.
Robert L. Fornaro - Spirit Airlines, Inc.: Morning, Joe.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Ted, if you were to look out over the next four to five years, what's the slowest rate at which you can grow and keep CASM ex flat? And I'm guessing that that rate is less than 13% to 15%. So, why is that rate not the kind of optimal growth rate for you that would allow you to kind of maximize margins and earnings?
Edward M. Christie - Spirit Airlines, Inc.: Yes. I understand the question. Thanks, Joe. Again, as I said earlier, we're seeing available market opportunities. We're looking to pursue those in whatever the right cadence is, depending on the market. So in boom times, obviously, we grew a lot faster, and we're managing that going forward. We don't grow to manage costs. We grow because there's an opportunity to pursue. And so, we're trying to optimize that from a return perspective. I think you're right, by the way. I think we could manage costs at a lower growth rate, if we wanted to, because...
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Do have a sense for what that is?
Edward M. Christie - Spirit Airlines, Inc.: Well, I think it's dynamic, to be fair, because that's the way we manage our business. You could mathematically arrive at something, which I think would be irrelevant because we would adjust. We always adjust based on the input conditions of the business and what we're seeing from a competitive standpoint. So what's most important to us are two things. One is that we're growing in a manner that we think digests markets that are accretive to the business and delivering return. And so, making adjustments to that, which you're seeing us do right now in real-time, is an effort to kind of reflect what's happening in the competitive environment. And what's also important to us is managing the cost structure in a way that keeps us competitive. And that's clearly a focus on expanding our relative advantage against everyone else. And so, quite frankly, and I'm not suggesting this as an outcome, by the way, but if we felt that it was appropriate, we may grow in a way that might produce pressure on CASM ex, but we feel like that might be a really good thing from a return perspective. So that's why I say, what's most important to us is we're tackling markets in the right speed, in the right matter, that's delivering return. And so, I think, look, to answer your question, there's a mathematical answer as to what growth rate would produce a neutral CASM. But I think that, from our perspective, we're much more dynamic in the way we evaluate it. So, I wouldn't put a number on it.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Okay. And then, Matt, it seems like maybe the messaging around which type of markets you guys are going to target over the next couple of years changed subtly. You talked about not as much large markets, more leisure destinations. Can you just maybe flush that out a little bit? Thank you.
Matthew H. Klein - Spirit Airlines, Inc.: Well, yeah. We can. It's going to be really a continuation of where we've seen strength and where we've been growing already, say, this year our growth to Orlando is notable. Our growth to Las Vegas is notable. We continue to grow in New Orleans. And we also see opportunity in some new, say, some new international destinations that we feel have opportunity for us as well. Our model allows us to really look at some destinations that we call near field international. We know the market here in South Florida really well. So, we know how to penetrate the market. We know our customer base here extremely well. And it allows us the opportunity through our network in Fort Lauderdale to really have opportunities that we feel are out there for us to exploit and look at growing into as we move forward. In terms of some of the longer haul flying that we put in place, as we look where fuel is today, some of the flying that we put in place works really, really well in the peak season. But once you get outside of the peak season, as the overall CASM moves up, if we can't push those costs off onto the passenger fare, then we have to reevaluate if that's the right place for us to put our assets. So, it's really as simple as that in terms of when we think out past the summer on how we're thinking about some redeployment and some of the route and how our network may change a little bit.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Thank you.
Robert L. Fornaro - Spirit Airlines, Inc.: Yes.
Operator: The next question comes from Jamie Baker. Please go ahead.
Jamie N. Baker - JPMorgan Securities LLC: Hey. Good morning. With the pilot contract behind us, can you give us an update on timing, in terms of rolling out a preferential bidding system. I seem to remember that the contract gives you up to a year to choose the vendor. So, if that's correct, that implies that maybe the benefits are more of a second half 2019 event? And are said benefits already captured in the ex-fuel CASM guide that you gave? And thanks for clarifying that two year stack on that topic?
Edward M. Christie - Spirit Airlines, Inc.: Sure, Jamie. John Bendoraitis is here, our COO. I'm going to have him answer first question for you.
John Bendoraitis - Spirit Airlines, Inc.: Hey, Jamie. You're correct in that we have about a one year target to implement the PBS. We've already formed the working committee, and they've already begun conversations with the various suppliers. And we hope to make a selection actually relatively soon from there. The group will be working together on the details and the rules of how we're going to implement the PBS. And so, I think in the industry, this kind of is a, call it, nine to 18 months window, depending on the carrier.
Jamie N. Baker - JPMorgan Securities LLC: Okay.
John Bendoraitis - Spirit Airlines, Inc.: And I think we're very capable of doing 12 months or inside 12 months.
Jamie N. Baker - JPMorgan Securities LLC: Got it. Perfect. And yes, go ahead, sorry.
Edward M. Christie - Spirit Airlines, Inc.: And then, Jamie, I think your second question was the benefits that are contemplated in our CASM ex. Is that correct?
Jamie N. Baker - JPMorgan Securities LLC: Yes.
Edward M. Christie - Spirit Airlines, Inc.: Yes, so the answer is, yes. I will caveat that and say, to the best of our ability. So what I mean by that is, we have an expectation of what sort of incremental benefit we expect with regard to a pref bid system. But we also anticipate, and I've said this before, that we are running today and will run over time a better airline. And the benefits associated with that flow through multiple line items in the P&L. And we've done some investigation modeling. We understand our airline works pretty well in an attempt to reflect that. But I think that improves over time, to be honest with you. And so, it's hard to say for sure exactly when and what amount. But our expectation is that we've run a very challenged airline. We've done a great job with a difficult network. And now, we're able to run one with maybe both hands. And I think that's going to provide us with some natural benefit over time.
Jamie N. Baker - JPMorgan Securities LLC: That's excellent. And can I just confirm that there was no material pushback to last week's fare increase? Not asking about future pricing, obviously, just trying to confirm that the increase was taken by your competitors?
Matthew H. Klein - Spirit Airlines, Inc.: Hey, Jamie. It's Matt. Yeah, we raised fares $3 late last week. And for the most part, from what we can see, our competitors also increased fares as well from a publicly fare available kind of data information.
Jamie N. Baker - JPMorgan Securities LLC: Cool, just checking. Thanks a lot, everybody. Take care.
Operator: The next question comes from Rajesh (sic) [Rajeev] Lalwani. Please go ahead.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Hi, guys. Thanks for the time. Matt, a question for you, and I guess in basic economy, we've had them on the system now for about a year or so, can you talk about your ability to sort of get fares, do well with that sort of product out there? Is it keeping you from participating in some of the strength in close-in fares and the upside that some of your peers are seeing? Just some color there would be great.
Matthew H. Klein - Spirit Airlines, Inc.: Sure, Rajeev. It's Matt. So, let me go back to almost before basic economy was in the marketplace, is the low-fare environment has been in place for quite some time. The fact that basic economy got introduced by some of our competitors didn't really change the fare environment, per se. So what really has the impact from a booking perspective, not just for us but for anybody, is what fare levels are in the marketplace. And, for the most part, those published fare levels really haven't moved much by our competitors. How they price and how they make the decisions is completely up to them. I can tell you that, from our perspective, we are extremely active in making fare adjustments, in canceling fares that we don't want in the marketplace, that we don't think benefit our revenue production, we'll cancel those fares. And we do that frequently. And we'll also make other kinds of price adjustments, as we feel appropriate, to help us and help our revenue production. So, I think I should leave it there for now.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Okay. And then, Ted, a question for you, on the leverage side, I mean, your metrics have creeped up quite a bit over the last couple of years, just given ongoing CapEx and then what we're seeing in the fare and fuel environment. Do you have any thoughts going forward as to whether or not we sort of plateau from here? Does it continue to go up? And maybe any thoughts on like a target level?
Edward M. Christie - Spirit Airlines, Inc.: Sure. So the leverage, it's really, there's three things impacting it. One is the numerator. The other is the denominator. But more importantly, also there is a bit of a mathematical optical effect of taking aircraft on balance sheet versus using operating lease financing. And for a company like ours, which, prior to 2015, really, we were exclusively financing our fleet using operating leases, to shift now to the point where we're a little bit more than half of the fleet is owned. And during that transition, it actually has a massive headwind to leverage. So I think that that's mostly optical, because the financing of CapEx is part of our growth strategy and how we choose to do it is based on return and investment. And so, in fact, if you kind of tried to unwind the way we finance our aircraft today and you just said, wow, and said we were going to use all lease financing, the leverage number's about flat. And so there is an impact to both sides of it, so I'm not suggesting there hasn't been an EBITDAR effect, too. But I think what's most important for us is trying to find the best possible source, from a cost perspective, in financing our aircraft. So going forward, we're clearly very comfortable at this leverage point, by the way. And I think that would've been true three years ago. And I think it's going to be true going forward, because of the vast majority what we do today is based on our growth. So it's based on our aircraft. And I don't put a hard cap on what the number is, but I can tell you that, based on what I know today and looking forward, we're going to be very comfortable from a leverage perspective, based on what the business can generate.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Okay. Thank you, gentlemen.
Robert L. Fornaro - Spirit Airlines, Inc.: Thank you.
Operator: Next question comes from Daniel McKenzie from Buckingham Research.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Oh, hey, thanks. Good morning, guys. Hey, I'm wondering if you can put a little finer point on the growth opportunities. So, maybe a similar question asked a little bit differently, and I guess at the outset, I hear you with respect to less focus on the larger cities, less long haul, maturity in the core markets, ancillary, all things looking to drive margins here, but you throw in higher fuel and what does the actual opportunity set look like over the coming five years? And just with respect to that, I'm wondering if the spool is something like 15 new markets a year or 30? And the reason I'm asking this question is you had mentioned potentially network redeployment. So, I'm just curious if you could kind of help tie those loose ends together here.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Yeah, certainly, Dan. This is Matt. So, the opportunity set is large and continues to be large. I don't really feel comfortable describing exactly where we're thinking about flying into, other than some of the high-level points we've already talked about, just from a competitive perspective. However, one of the things that we will continue to do, and we've been doing this, we're just going to do more of it, is think seasonally and think about how much we deploy in terms of how many departures per week we think about in certain markets. So there's opportunity for us to grow into more routes, grow into more markets and do that in a more diversified way and really a more risk-averse way, quite frankly. And that's one of the things that we think in this environment right now, as we adjust and make sure that we're thinking about what's happening in the industry, think is an appropriate pace for us to move and also an appropriate way for us to think about the opportunity set that's out there. So just to reiterate, the set's large. The question just is how quickly do we want to consume them and how do we enter the markets in a way that diversifies the risk and really mitigates the risk in terms of from the spooling up and getting to maturity faster.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Yeah, thanks. And if I could just maybe go back to your response and focus on one part of it and that's the seasonality, one thing that I don't think investors have thought about is sensitivity to a non-fuel CASM to utilization, but is there some degree of off-peak flying that you could trim, say, 15% or 10%, and still keep non-fuel costs flat or down or is that utilization flying in the off-peak period really a critical component to maintaining the non-fuel cost outlook?
Robert L. Fornaro - Spirit Airlines, Inc.: So I think that's a pretty good question. And I think we're going to start, especially as oil moves back up. Utilization, at all cost, doesn't make sense. As you move into July, you could fly pretty much whenever you want. You'd want to maximize it in peaks, but I think you're going to seeing us be much smarter about utilization by month. And I could say when we talk about some of the off-peak flying, I guess, if you can replay what you did, we would have done less last year, at least in certain markets. So, it's hard to put a number on it, because you really want to look at the math, but I think you'll see more opportunities and less than daily. And if you look at the way we fly, we have some very strong routes. About a quarter of our airline is in multiple frequency routes. And then, the large bulk is daily. There are plenty of opportunities, and infinite more opportunities, in less than daily. And, by definition, some of the less than daily is less competitive risk as well and there's less spool-up risk. So when the growth rate slows, and you're not deploying a higher number of airplanes, some of this stuff actually gets easier, because, again, there's simply less routes and, on average, the planes are slightly bigger. So some of the growth is also coming from the assessment, but I think you're going to see us be much more tactical. The environment is what it is. The peak months are good and the off-peak months are challenging. And you basically have got to change of airline every couple of months. So, I think you'll just see more changes, but to put a number on whether it should be 10% or 12% or minus 5%, I think you build it in a more micro way, which is the way we will do it.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Very helpful. Thanks, Bob.
Operator: The next question comes from Savi Syth. Please go ahead.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey, good morning.
Edward M. Christie - Spirit Airlines, Inc.: Good morning.
Robert L. Fornaro - Spirit Airlines, Inc.: Morning.
Savanthi N. Syth - Raymond James & Associates, Inc.: On the unit revenue trend that you're seeing, for second quarter, as I can adjust for Easter and kind of the stage length, it looks like core is down 2%. Could you help me understand maybe as you go through the quarters this year, just what that stage length headwind would look like? I'm just trying to get a sense of what we can expect for the core to do as you kind of walk through the year, assuming no changes in the industry?
Edward M. Christie - Spirit Airlines, Inc.: Savi, it's Ted. I think, as we headed towards the end of 2017, that was when the stage really started to walk-up. In fact, by the fourth quarter, yeah, it was up 5%. So, as we get closer to the back half of this year, it's going to be less and less of an effect. I don't have the actual kind of headwind, tailwind numbers at the top of my head, but I can tell you that the stage was already feathering in by the time we hit the fourth quarter of last year.
Savanthi N. Syth - Raymond James & Associates, Inc.: Got it. And, Ted, if I might ask on the unit costs on 2019, I just want to clarify. When you talk about that two-year stack, are you trying to say that it's most likely to be up slightly next year just because of the tougher comps or is there an opportunity for it to be flat or down next year?
Edward M. Christie - Spirit Airlines, Inc.: Yeah, there's an opportunity. And we're always very thoughtful and careful about the cost structure. So I've said that before. And that's why I'm confident right now saying – because we thought about this year, given all of what's going on this year, with a new pilot deal and the kind of growth rate that we had versus what was happening last year, along with the fact that next year is, obviously, going to be a more normalized growth number, given our long-term guide, we've always thought about this as kind of a two-year period. And that's why we're comfortable saying it's going to be down. The question is heading into next year, what are we going to tackle and what are we going to do. And so, there is always an opportunity for us, in any given year, to kind of push the cost structure harder, and be thoughtful about those things, but I think I've thought about it more over a 24 month period.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay. All right, that's helpful. Thank you.
Operator: We have a question from Duane Pfennigwerth. Please go ahead.
Duane Pfennigwerth - Evercore ISI: Hey, thanks for taking the follow-up.
Edward M. Christie - Spirit Airlines, Inc.: Sure.
Duane Pfennigwerth - Evercore ISI: So, Bob, you have some long-term perspective on this industry. Let's call it experience. You've participated directly in a consolidation event, which was very shareholder-friendly. I think a lot of CEOs would not have made the same call. Some larger peers are generating very meaningful substantial free cash flow. And yet, we have all these questions about basic economy, which are just not that interesting, right? It's semantics. In some cases, it feels like another name for pricing below your cost structure. I'd love to get your perspective on the prospects for consolidation from here. Maybe the industry just lacks the creativity of, say, a Willie Walsh. Thanks for taking the questions.
Robert L. Fornaro - Spirit Airlines, Inc.: Well, there's more than one question in there. And one about consolidation and one about basic economy. Let me kind of break them into pieces.
Duane Pfennigwerth - Evercore ISI: Consolidation is really what I'm curious about.
Robert L. Fornaro - Spirit Airlines, Inc.: You're going to get a little bit of a stock answer here, because you know we can't speculate on this stuff, other than, I think you know, at least personally and as a group, we will evaluate opportunities as they come. And I think there have been benefits for this industry in consolidation. And I think, for us, it's always a matter of trading off what your standalone opportunities are versus how they would be with a combined environment and how they would impact the entire landscape. And, again, those things are ongoing. There's a lot going on in the industry. And to some degree, again, may be the industry over-earned perhaps four years ago, and now it's under-earning. And it's all about excuses about why things need to happen. And like I said, I think at least you've heard us – we've stopped really talking about the industry pricing environment. It is what it is. It's aggressive. We lead most of the time. We're undercut from time-to-time. You've got carriers whose cost structures are double ours, who under-sell us. And then they complain about our prices. We're in the low fare business. That's our business. And there is a strong niche for it. There's a lot of classic leisure markets that we should fly. In fact, most of our growth the last two or three years has been in Fort Lauderdale, Las Vegas and Orlando, which are, you said, they're classic low-fare destinations. Many of the high cost carriers are growing in there as well. There is really room for us in a broader way and, like I said, so we have to manage the opportunity. Right now, we see the opportunity for growth either on flying on a daily basis, we think a great opportunity for us is more international. And we have the opportunity to seize on that. We will make our adjustments and react to the environment. And like I said, Duane, we're interested in trying to make – we can influence what we do and we can have a broader impact on the industry. And I think you just need to assume that our practice is to evaluate the opportunities, either internally or externally. Okay?
Duane Pfennigwerth - Evercore ISI: Okay. Thanks for the perspective, kind of an unfair industry question to you. Thank you.
Robert L. Fornaro - Spirit Airlines, Inc.: Okay.
DeAnne Gabel - Spirit Airlines, Inc.: Elda, we have time for one more question.
Operator: It comes from Hunter Keay.
Hunter K. Keay - Wolfe Research LLC: Thank you. I actually have a couple of follow-ups. Bob, when we were talking about fuel and the impact on some of the longer stage length flying, you said, you were taking a look at that. Is that already part of the modest capacity reduction you announced today or are you implying that that's sort of like an ongoing process that as you look at post-Labor Day schedule, if fuel stays at or above these current levels, there's potential for some incremental capacity reductions?
Robert L. Fornaro - Spirit Airlines, Inc.: So it's both. It's part of in the presumption that some of it will change. And we're just not complete. It's a little early for us and we're kind of way out. You'll start seeing the bulk of the September and October changes as we move into early June, that timeframe. But it's in anticipation of what we at least expect, even a modest measure of what we're planning on. Okay?
Hunter K. Keay - Wolfe Research LLC: Yeah, that's good, Bob. Thank you. And then a little bit more on utilization, I did notice that your utilization was up for the first time in two years this quarter. How should we think about the 2019 13% capacity growth in the context of if you want to make it simple, how much of that 13% is coming from higher utilization? Is it four points of the 13% or whatever? I mean, if you want to split it that way, that'd be easy.
Edward M. Christie - Spirit Airlines, Inc.: Yeah, I hear you, Hunter. I don't know that I have the breakout, but right now, as we said before, 2017 was an unusual utilization year. So, it was depressed. And as we start to lap that, our utilization is going to look better year-over-year. We get passed the pilot-related issues in the second quarter. You pass the hurricanes in the third. That's going show year-over-year improvement in utilization. I think for now, you should assume that whatever we produce this year is kind of what we're thinking about going into next year. Where we can push utilization clearly in the peak is our primary focus. And I think that having our labor issue settled and having a good understanding of the working parts of that agreement, I think is going to help us as we head into peak periods, which is when you really want utilization. And that's the focus.
Hunter K. Keay - Wolfe Research LLC: Okay. Thank you.
Edward M. Christie - Spirit Airlines, Inc.: You got it.
DeAnne Gabel - Spirit Airlines, Inc.: Thank you all for joining us today.
Operator: Ladies and gentlemen, this concludes today's conference call. We thank you for participating. You may now disconnect.